Operator: Good day, ladies and gentlemen and welcome to the SJW Corp. Fourth Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to turn the conference over to Suzy Papazian, General Counsel. You may begin.
Suzy Papazian: Thank you, operator. Welcome to the full year and fourth quarter 2015 financial results conference call for SJW Corp. Presenting today are Richard Roth, Chairman of the Board, President and Chief Executive Officer; and James Lynch, Chief Financial Officer. Before we begin today's presentation, I would like to remind you that this presentation and related materials posted on our website may contain forward-looking statements. These statements are based on estimates and assumptions made by the company in light of its experience, historical trends, current conditions and expected future developments as well as other factors that the company believes are appropriate under the circumstances. Many factors could cause the company's actual results and performance to differ materially from those expressed or implied by the forward-looking statements. For a description of some of the factors that could cause actual results to be different from statements in this presentation, we refer you to the press release and to our most recent Forms 10-K and 10-Q filed with the Securities and Exchange Commission, copies of which can be obtained at www.sjwcorp.com. All forward-looking statements are made as of today, and SJW Corp. disclaims any duty to update or revise such statements. You will have the opportunity to ask questions at the end of the presentation. As a reminder, this webcast is being recorded and an archive of the webcast will be available until April 25, 2016. You can access the press release and the webcast at our corporate website. I will now turn the call over to Rich.
Richard Roth: Thank you, Suzy. Welcome everyone and thank you for joining us. I’m Rich Roth, Chairman and CEO of SJW Corp. On the call with me today are Jim Lynch, Chief Financial Officer of SJW Corp. and Palle Jensen, Senior Vice President of Regulatory Affairs for San Jose Water Company. For those who like to follow along, slides accompanying our remarks are available on our website at www.sjwcorp.com. As Jim will discuss in further detail, SJW delivered solid results for the year despite continuing water supply challenges in our California service area. Further looking back at 2015, SJW made substantial progress on a variety of operational and administrative fronts that I believe will make SJW a better and stronger company in many ways. Several examples of the aforementioned improvements follow the successful implementation of San Jose Water Company’s drought response plan, the addition of $96 million to utility plant through our sensible and systematic infrastructure investment program, the initiation of construction on the $62 million Montevina Water Treatment Plant retrofit, extensive enhancements to our customer and stakeholder communications program, and another successful year of meeting all drinking water and environmental regulations. I will now turn the call over to Jim who will review our financial results. After Jim’s remarks, I will address key operational regulatory and financial issues. Jim?
James Lynch: Thank you, Rich. Net income for the quarter was $16.2 million or $0.79 per diluted share compared to $5.7 million or $0.28 per diluted share for the fourth quarter of 2014. Year-to-date, net income was $37.9 million or $1.85 per diluted share compared to $51.8 million or $2.54 per diluted share for 2014. Fourth quarter revenue was $87.6 million, a 26% increase over the fourth quarter of 2014. For the year, revenue was $305.1 million or a 5% decrease over 2014 revenue. 2015 marked the fourth consecutive year of drought conditions in our Northern California service area. In response to state mandated emergency conservation regulations, in March 2015, the Santa Clara Valley Water District increased their conservation target from 20% to 30% of 2013 usage through the end of 2015. As a result, we experienced a decline in customer usage of 12% for the quarter and 18% for the year. The revenue impact of lower customer usage was a decrease of $7.9 million for the quarter and $36.3 million for the year while compared to 2014. Reported 2015 results also reflect the impact of rate increases that contributed $4.7 million in new revenue for the quarter and $37.8 million for the year. 2015 was the last year of the 2012 California General Rate Case or GRC, and effective January 01, 2016 the company has been operating under interim rates. Rich will provide an update on our 2015 general rate case application in his remarks to follow. In addition, the change in our year end operating results over last year was significantly influenced by true up revenue recognized in 2014 in-connection with our 2012 GRC decision. Recall that in the third quarter of 2014, we recognized $46.5 million related to the 2012 GRC decision, including $21.9 million in true-up revenue related to 2013. The difference between revenue authorized by the California Public Utilities Commission or the CPUC and actual revenue, net of savings from lower water purchase volumes is tracked in the company’s Mandatory Conservation Revenue Adjustment Memorandum Account or MCRAMA. On December 03, 2015, we received authorization from the CPUC to recover $4.3 million of accumulated lost revenue in the MCRAMA during the period from April 01, 2014 through December 31, 2014. We’ve recognized $3 million of the authorized amount in the fourth quarter net of $1.3 million which we estimated would not be collected within 24 months of year end. The December 3rd decision required the company to change its methodology used to calculate lost revenue. And along with the methodology change, renamed the MCRAMA to Water Conservation Memorandum Account or WCMA. With the decision, the company also met the revenue recognition criteria for amounts accumulated in the WCMA for the period from January 01, 2015 to December 31, 2015 and recognized an additional $17.5 million in fourth quarter revenue. The amount recognized was net of $2.3 million for estimated collections after 24 months from year end. Turning to water production, the lower water usage in our California service area in 2015 coupled with greater volume of available service water resulted in lower 2015 water production cost. Water production expense was down $3 million for the quarter and $21.5 million for the year due to lower usage while available surface water increased expense $500,000 for the quarter and decreased it by $2.6 million for the year. The combined water production cost savings was partially offset by higher purchase water cost of $2.7 million and $12 million for the quarter and year respectively. Operating expenses excluding water production cost were $29 million for the fourth quarter, which was an increase of $2 million when compared to the fourth quarter of 2014 and $114.5 million for the year compared to $104 million in 2014. The increases were primarily the result of higher administrative and general expenses due to an increase in pension costs. The pension cost increase was due to a lower discount rate used to calculate our 2015 pension expenses, and the implementation of new mortality tables. In addition, both the quarter and year end balances include higher costs incurred in connection with our 2015 California General Rate Case proceeding and higher depreciation amounts due to utility plant additions. Other expense and income in 2015 included the third quarter sale of multiple non-utility real estate properties for a gain of $1.9 million. In 2014, other expense and income included a gain of $2 million on the sale of California Water Service Company’s stock in the second quarter and a gain on the sale of real estate investment properties in Texas and California in the second and third quarter respectively of $300,000 each. Another point of note, in 2014, the company recorded a California state income tax benefit of $5.1 million related to the adoption of new Department of Treasury and Internal Revenue Service tangible property regulations for 2013 and prior years. In addition, the company recorded a benefit of $880,000 for the recognition of enterprise zone sales and used tax credits in 2014. No similar amounts were recorded in 2015. For those following along on our website, I’ve presented the earnings impact of the aforementioned items on a couple of slides. The first one bridges our 2014 fourth quarter earnings per share with 2015 fourth quarter earnings per share. The second bridge bridges our 2014 earnings per share for the year with 2015 earnings per share. Turning to our capital expenditure program, we added $96 million in core utility plant during 2015. This represented 90% approximately of our 2015 planned core utility plant expenditures. In addition, we completed $9 million of construction on our Montevina plant retrofit project. The retrofit project is a progressive design build project allowing for operation of the plant for surface water production during the 2015 and 2016 rainy season. The next phase of construction is scheduled to begin in July of 2016. From a liquidity perspective, annual cash flows from operation increased by $31.3 million or 48% due in large part to higher income and the collection of $6 million in income tax receivable that was generated at the end of 2014. In addition, we experienced a $13.3 million cash increase from the collection of surcharges in connection with the 2012 GRC decision and $12.1 million in cash collected from drought surcharges. Note that the company has been collecting drought surcharges under our water shortage contingency plan since June 2015. Amounts collected are recorded by the company as regulatory liabilities. The collections will be used to offset future amounts authorized by the CPUC for recovery under the WCMA. At the end of the year, we had $62.4 million available under our bank lines of credit for short-term financing of utility plant additions and operating activities. The borrowing rate on the line of credit advances during the year averaged 1.31%. So with that, I will stop and turn the call back over to Rich.
Richard Roth: Thank you, Jim. Our California customers have done a remarkable job of conserving and helping stretch our precious water supplies in response to the many and varied calls for conservation. Public agencies, elected officials, and other stakeholders in California and Silicon Valley also deserve credit for their timely reaction to the drought and the collaboration that resulted in a very effective response to the myriad of new water conservation rules and targets. Although the California water supply is more positive than in years past, we believe there is a structural water supply deficit. SJW is committed to ensuring that our water suppliers are drought resistant, reliable, and sufficient to meet the region’s growing economy and customer base. Accordingly, we are spearheading efforts to expand the region’s water supply by focusing on waste water we use, which we believe is relatively drought tolerant and reliable source of supply. Dealing with an extended drought has made SJW increasingly aware of the need to connect with and invest in the communities we serve. We have learned valuable lessons about how to effectively conserve and ensure the [indiscernible] of all resources. The SJW has institutionalized the lessons learned, and modified our business processes to ensure a stronger and more sustainable company. Turning now to regulatory affairs, San Jose Water Company is still awaiting a proposed decision in its 2015 general rate case filling. Since a timely decision was not received, the company as allowed by California Regulation implemented interim rates effective January 01, 2016. Although the rates did not change, this action will ultimately allow San Jose Water Company to apply the rate increase adopted in the commission’s final decision retroactively to January 01 of 2016. On December 11, 2015, the San Jose Water Company along with 3 other publicly traded California water utilities filed a request for a one-year postponement of the 2016 cost of capital proceeding. Pursuant to the commission’s rate case plan, utilities are required to file cost of capital applications on a triannual basis. Postponing the filing for one year will reduce administrative costs for the utilities as well as the commission staff. This request was approved on February 01 of 2016. As San Jose Water Company continues to collect true of charges related to the 2012 general rate case and on the difference between authorized and actual sales, there is good reason to be optimistic about SJW’s prospects. Realistic sales numbers and established revenue production mechanisms are now in place and will not only address the effects of the drought and conservation efforts, but also promote increased infrastructure investments. While the regulatory environments in which we operate are demanding, we believe the days of extended regulatory lag are behind us, and this should result in a greater opportunity for us to earn our authorized returns. It is especially noteworthy that SJW’s 2016 consolidated capital program is expected to exceed $140 million. These approved investments are not only essential to providing safe, high quality, and reliable water service but they also help propel sustainable growth in rate base and thus the company’s long term earnings potential. SJWTX Inc, our Texas Waste Water and water utility continues to experience robust demand for water services. Since its acquisition in 2006, SJWTX’s customer count and gross utility plan have increased by almost 70% and 330% respectively. Within diverse portfolio of water supplies, a growing waste water business, and continued additions to customer base through organic growth and acquisitions, we remain optimistic about the prospects for SJWTX. In January 2016, the Board authorized a 4% increase in SJW’s annual dividend to $0.81 per share. The dividend increase demonstrates the company’s strong commitment to our shareholders and evidences that bodes confidence in the company’s business plan. Finally, in 2016, San Jose Water Company will celebrate its 150th anniversary. The lasting success and longevity of the company can be traced to the enduring quality of the company and our unwavering commitment to our customers and the communities we serve. This commitment is reflected in our employees’ past and present who are the most important report for our continued success. With that, I’d like to turn the call back to the operator for questions.
Richard Roth: Thank you everyone for listening. Appreciate your confidence and investment in SJW and we look forward to talking to you at the end of the first quarter. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. That does conclude today's program. You may all disconnect. Have a great day everyone.